Operator: Good day everyone and welcome to the Walgreen Co. second quarter 2010 earnings conference call. At this time for opening remarks and introductions I would like to turn the conference to Rick Hans; please go ahead sir.
Rick Hans: Good morning everyone. Welcome to our second quarter conference call. Today, Greg Wasson our President and CEO will discuss the quarter’s highlights and sales trends, the flu’s impact on our results, acquisitions, customer centric retailing, and the recent restructuring of our healthcare divisions. Wade Miquelon, Executive Vice President and Chief Financial Officer will detail the second quarter financial results before we begin taking your calls. When we get to your questions, please limit yourself to one question and a follow-up so that we can give an opportunity to as many investors as possible during our limited time. As a reminder I am available throughout the day by phone to answer any additional questions you may have. You can find a link to our webcast under Investor Relations at Walgreens.com. After the call this presentation will be archived on our website for 12 months. We’re also making the call available as a podcast. You can download that too at our Investor Relations website. Certain statements and projections of future results made in this presentation constitute forward-looking information that is based on current market, competitive and regulatory expectations that involve risk and uncertainty. Please see our latest Forms 10-K and 10-Q for a discussion of factors as they relate to forward-looking statements. Now I’ll turn the call over to Greg.
Greg Wasson: Thank you Rick and thank you everyone for joining us on our call. Before I move into our quarterly numbers, let me share a few thoughts on the historic healthcare Bill that passed the House on Sunday. The Bill will impact us both as an employer and a provider and we’ve said all along that we support the three-core tenant of healthcare reform, improved quality, greater access to care and lower cost. The Bill is expected to provide health insurance to an additional 32 million Americans and we expect to benefit from that as a provider. As an employer of 238,000 people we’ll be examining the impact of the Bill on our workforce and our retirees along with the Bill’s financial implications. In future calls we’ll share with you more details of its impact, particularly as changes to the Senate Bill are directed through the reconciliation process. Now let’s move to our quarterly results, net sales for the quarter were nearly $17 billion, up 3.1% over a year ago. We managed our business in a soft economy and through a significantly lower incidence of flu compared with a year ago. Net earnings were up 4.6% to $660 million from $640 million a year ago. Earnings per diluted share were $0.68, a 4.6% increase from $0.65 per diluted share last year. The quarter includes the impact of $0.02 per share of restructuring related costs compared with an impact of $0.06 in the year ago quarter. We continued to generate strong cash flow from operations in the quarter reaching $595 million. This cash flow not only supported our strategic investments in the quarter including our announced acquisition of Duane Reade drugstores in New York but it also allowed us to return $370 million in cash to shareholders through dividends and stock repurchases. For the first six months of the fiscal year sales increased 6.1% while net earnings increased 10.5% to $1.2 billion or $1.17 per share. The unusual pattern of this year’s flu season impacted our overall comparable sales performance for the quarter. Both scripts and front end sales spiked in the first quarter when the flu hit hard and were relatively weak in the second quarter when the flu subsided. This quarter in particular was helped by the seven million seasonal and H1N1 flu shots that we provided this fiscal year. We remain focused on growing market share through organic store growth, acquisitions, prescription file purchases, and strong store execution. Over the past six years the annual number of retail prescriptions in the US has grown 15%. In that same time period the number of prescriptions we fill each year has grown 61%. We’ve also steadily grown our market share from less than 14% in 2004 to 18.9% of all retail prescriptions today according to IMS health data. I’d like to bring you up to date on the progress we’ve been making on our three key strategies; leveraging the best store network in America, enhancing the customer experience, and achieving major cost reductions and productivity gains. Let me start with the impact of one of our very important initiatives and that’s slowing new store openings. This initiative is freeing up cash for strategic acquisitions even while we open more new stores than all of our drugstore competitors combined today. The acquisitions help to fill in important regions of the country and widen our footprint more quickly than through organic growth. As you can see from this map, in just the past few years we’ve strategically filled in our store base with acquisitions of pharmacies from El Amal in Puerto Rico, Drug Fair in New Jersey, Eaton Apothecary in Boston, Snyder’s in Minnesota, and last week’s announcement of 17 USA Drug pharmacies in the Memphis market. And our most significant retail acquisition was last month’s agreement with Duane Reade drugstores. Duane Reade’s 257 drugstores in the New York Metro area are an exciting acquisition for us for several reasons. First, finding good real estate in Manhattan is very challenging. It would take us many years of organic growth to reach the store count that this acquisition brings us. Second, Duane Reade store footprint in New York is also highly complimentary to our own existing store base so together we’ll be able to use this critical mass to drive additional growth in the highly attractive northeast markets. Third, we see significant complimentary strengths between Duane Reade’s focus on urban retailing, customer loyalty, and private brand products and our own initiatives in pharmacy, health and wellness, and customer centric retailing. Together we intend to build a unique urban drugstore proposition. One other transition this year I’d like to note is the acquisition of the prescription files from SpecialtyScripts LLC, a subsidiary of Cardinal Health. Acquisitions like this are important part of building our specialty pharmacy business. Now I’d like to move to our second core strategy, enhancing the customer experience. One of our key initiatives under this strategy is CCR, or customer centric retailing and as promised on our December earnings call we’re going to take a deep dive into CCR in order to give you a little more color on this call. I’ll start by showing you a few photos of one of our fully converted CCR stores including our new décor package. This is our over the counter and pharmacy section where you see the arts that calls out the pharmacy. Also notice the lower fixture heights that allow customers to identify the pharmacy from anywhere in the store. This shot shows the new beauty area, an important department to 75% of our customers who are female and an area where we intend to grow. Here is our food and consumable section. We’re adding beer and wine and looking at more fresh food offerings in the future. And finally our photo plus department where we have the number one market share in the country in photo finishing and have even more services under consideration. So as we’ve said from the beginning we’ve looked at CCR as a four way win. It will improve sales. It will reduce working capital deployed. It will take work out of the stores, and it will provide a better customer experience with greater relevancy and efficiency for our shoppers. Next I’ll cover the four key drivers of CCR, first we’re optimizing our existing assortments. We’ve identified the best selling high value products that best meet the needs of our customers. In the process we eliminated roughly 3500 SKUs per store. Second, we’re improving our category and product adjacencies in order to help our shoppers easily find and purchase related items. We call this solution selling and a good example is our new dental category. Dental products are now adjacent to shaving needs, bringing together categories that are part of the customers’ morning routine. And third, we’re improving sightlines throughout the store by lowering the profile of our merchandise and improving our signage. Finally, we’re refreshing all of our stores with a new décor package which will brighten the stores with contemporary colors and updated signage. An important first step in the CCR process was categorizing all of our products into four classes. Our strategy is to win in the categories that are most important to us while offering an assortment of the most important products in our convenience categories. Here’s how we’ve segmented our product categories and the percentage of SKUs that we removed from each class. Our significant class, includes the categories we are known for and we intend to win in. This includes categories like vitamins. Next is the power class, these are categories in which we want to be the best in the drugstore industry such as hair care. Third is staples, everyday needs, like paper goods and fourth is the complement class, which are the impulse buys or convenience items in categories like automotive. So with that as background, here’s where we are today with CCR. Now its important to keep in mind that when we talk about CCR we’ve converted nearly 700 stores and we have parts of CCR rolled out across the entire chain. So to start, we’ve eliminated as I’ve said around 3500 SKUs per store. We’ve reset 36 categories chain-wide to the new CCR assortment which account for nearly 40% of our frontend sales and these 36 categories now include the solution selling I described earlier and increased facings of 800 products. This is intended to not only increase sales but also to decrease both stock replenishment time and out of stocks of our better selling products across the chain. In addition, across all 7100 stores, we’re dedicating more space to key categories like skin care and vitamins. We’re also adding entirely new categories like beer and wine. Currently we offer a moderate selection of beer and wine in more than 2500 stores and we’re looking to grow that number to 5000 by the end of our fiscal year. In the 700 converted stores, we’ve optimized category adjacencies and assortments and improved sightlines with lower shelving and this spring we’re adding the new décor package. And we’ve worked to refine our costs for this refresh initiative. To date, we have a complete conversion package including the new décor package at an estimated cost of $40 to $55,000 per store and we expect to improve on those costs as we move forward. Let’s now look at some of the early results, first as the ultimate goal of CCR is to improve our customer shopping experience here’s what they’ve had to say. More customers say the converted stores feel more open and spacious. They also say they can get in and out more quickly while enjoying a more pleasant shopping experience. Their perception of us as a health and wellness retailer is increasing, and finally we’re getting good feedback on how we’re providing value for their shopping dollar on the products they want. Next CCR’s impact on inventory reduction has been dramatic. Total inventory has been reduced by more than $500 million chain wide and I want to point out that this alone more than pays for the entire initiative. Lastly we’re seeing good results with CCR in removing work from our stores due to fewer store level SKUs, increased spacings of our better selling items and lighter stockrooms. As a result we’re hearing from store managers that they have less replenishment work to do. This means we can use those labor savings for more customer service and additional cost savings which are included in our Rewiring for Growth initiative. Now we’ll give you some color on CCR’s impact on sales, let’s start with data on how our four product classes have performed in the 31 pilot stores compared with a controlled group. Our best data comes from these stores since they have been converted the longest. When we compare them its important to keep in mind that even the controlled group benefited from CCR changes we’ve made chain wide including the assortment optimization and category resets. In addition the pilot stores have not had the benefit of our new décor package which is just now rolling out. As you can see on this slide pilot stores are outperforming the control group in each product class except complement. And taking all product classes together sales in the pilot stores are up nearly 2%. I also want to point out the data below the chart which shows the percent of front end sales for each product class. The signature class accounts for 29% of front end sales and has outperformed the control group by nearly 5%. The power class accounts for nearly half of front end sales and is outperforming the control group by 3%. Staples, a smaller class, accounts for only 17% of front end sales and shows a slight sales increase versus the control group. And finally the complement class is the smallest in terms of front end sales at 6% and has underperformed the control group by about 8%, partly due to a dramatic SKU and space reduction. We intend to add some items back to this class and I’ll cover that a little later. Overall we’re happy with the results we’re seeing from the pilot stores and we expect the trends to get even better when these stores receive the new décor package. As we said the next step was to pilot CCR to two main markets. Our two goals were to verify that we could roll this out to an entire market with a minimum of disruption and within budget. And secondly we wanted to gather learning’s from piloting it in a mass market in terms of its performance at a market-wide level. In terms of comp sales, Houston and Dallas are today underperforming the rest of the company primarily reflecting regional economic conditions. However since rolling out CCR, the stores in these two markets have seen their market share slightly improve compared with the inbound trend. One other trend we’ve also noticed was that for stores with a higher percentage of sales coming from the complement categories, there was a greater decline in overall front end sales. Clearly the greater SKU reduction in the complement categories led to a more pronounced sales impact in these select stores. So though we’ve always merchandized our stores by peer groups, the key learning out of Houston and Dallas is that CCR needs to be further tailored according to these groupings. We’ve already added back on average a few hundred relevant items and more on the way to stores with a higher percentage of sales coming from the complement class. In addition to optimizing our existing assortments, we’re now working to enhance our product assortment. We currently have approximately 20 enhanced categories scheduled to hit stores chain wide this summer such as our new electronics department. And we expect to have converted between 2500 and 3000 stores by late fall 2010. The next 1200 store conversions will lean more to stores with less dependence on the complement class. This gives us more time to make the needed adjustments to CCR plans for the stores hardest hit by the SKU reductions in the complement product class. And of course all CCR stores moving forward will have the benefit of the new décor package. So wrapping up our CCR discussion, our early results absolutely show we’re moving in the right direction. Customer satisfaction has been positive. We’re incorporating learning’s from early roll outs to improve the offering and its produced good economics for the company. We’ve already seen as I said a $500 million reduction in inventory. I’d like to turn now to a significant announcement we made earlier this month intended to drive our revenue and top line growth. We announced the strategic restructuring of our healthcare divisions in order to offer integrated pharmacy and health and wellness solutions to our wide range of clients including employers, managed care organizations, pharmacy benefit managers, and government agencies. Today we’re going directly to these clients with a single sales and client services organization for the entire company headed by Hal Rosenbluth. Kermit Crawford, our Executive Vice President of Pharmacy, will oversee the integration of our specialty pharmacy, home care, infusion, long-term care businesses, with our retail pharmacy business. And we’re looking forward to the upcoming selling season. Before closing, let me briefly touch on our third category of reducing costs and increasing productivity. We continue to make significant progress executing on this strategy and as this chart shows we controlled SG&A growth even in a weak sales environment. Our gross profit dollar growth slightly exceeded our SG&A dollar growth in the quarter. We remain on track to deliver a billion dollars in annual savings in fiscal 2011 under our Rewiring For Growth. With the progress we’ve made in the last quarter I can assure you we remain confident in our three key strategies while managing to a soft economy. With our ongoing focus on growth we are making strategic acquisitions that were enabled by our strong cash position. As we continue rolling out CCR we’re moving ahead with our success while responding to customer feedback and applying learning’s. Our goal is to deliver the most compelling value with respect to convenience, assortment, and price. We’re restructuring to bring our pharmacy and health and wellness services into one cohesive integrated solution, one that leverages our center of gravity, our community drugstores and allows us to serve all of our clients better. And these solutions are aligned with the goals of healthcare reform. As I like to say, Walgreens is skating where the puck will be and we’re well positioned on the front line of healthcare to do so. Thank you for joining us today and at this time I’ll ask Wade to update you on the financial results from the quarter.
Wade Miquelon : Thank you Greg and good morning everyone. Let’s review the quarter’s results in more detail, in the quarter net sales increased 3.1%. Net earnings were up 4.6% and earnings per diluted share were $0.68 or $659 million, up from $0.65 per diluted share or $640 million in the same quarter a year ago. This quarter’s results include the impact of $0.02 in restructuring related costs associated with the company’s Rewiring For Growth initiatives and that compares with $0.06 in costs in the year ago quarter. Prescriptions sales rose 3.2% and represented 63% of sales for the quarter. Prescription sales in comp stores rose 0.6%. We filled 192 million prescriptions during the quarter, an increase of 6% from a year ago and that includes the benefit of 0.9 percentage points from patients filling 90-day rather than 30-day scripts. On a comp store basis, the number of prescriptions filled increased 3.4% and that includes the benefit of 1.3 percentage points from 90-day scripts. The second quarter was significantly impacted by the level of the flu. This slide illustrates just how much the flu season has varied over the past three years. During our fiscal second quarter included in the red line you can see the instance of flu dips below the previous two years. This year’s number shows the early rise in flu cases. That’s what contributed substantially to our first quarter’s 19.6% earnings increase. I would also like to note these stats released by the CDC in February. Only 1.8% of doctor visits near the end of February were flu-related compared with 3.5% in late February, 2009 and an even larger 6% two years ago. Let me say a few words about our front end comp store sales, these sales in the quarter were down 1.6% primarily due to the weaker flu season and the way we’ve managed seasonal inventory and seasonal sales. Now when viewing a true apples to apples time period, that compares our front end comps with our top three competitors, we are outperforming them in the same periods they most recently reported as shown in this chart. Gross profit in the second quarter was $4.9 billion, a 5.1% increase versus the year ago quarter. Gross margin increased 50 basis points compared with the year ago quarter to 28.8%. Helping overall margins were improved seasonal margins due to decreased markdown activity year over year, a lower provision for LIFO and lower Rewiring For Growth expenses. Retail pharmacy margins were flat partly driven by a slower year over year rate of generic introductions. The two year stacked SG&A dollar growth shows substantial improvement compared with the year ago quarter, dropping from 16.9% to 12.6%. And as we cycle these comparisons it is more difficult to continue on that pace of SG&A reduction. Some of that improvement can be traced to benefits from our Rewiring For Growth initiative. This chart summarizes the savings and costs for Rewiring For Growth restructuring since the year ago quarter. Total Rewire expenses for the quarter were $28 million and for the first six months they totaled $70 million. We anticipate approximately $140 million in Rewire expenses in fiscal 2010. We remain on target for a net pre-tax savings of about $500 million this fiscal year and a net pre-tax savings of $1 billion in fiscal 2011, both versus our base year of 2008. Now let’s review some additional income statement details, the LIFO provision was $27 million versus $49 million in the second quarter of 2009. That represents an anticipated LIFO provision of 1.5% for the year. Next are the $28 million from restructuring costs in the quarter including $6 million in SKU discontinuation, $17 million in consulting and other expenses and $5 million in costs associated with the workforce reductions. The effective tax rate was 37% compared with a tax rate of 36.7% in the year ago period. And we expect a tax rate of approximately 37% for the fiscal year. Accounts receivable, inventory, and accounts payable are the components of working capital that we can most directly impact. The net sum of these as compared to sales fell 6.3% in the quarter compared with the year ago. Total inventories were down $400 million or 5.1% against total sales growth of 3.1% and total drugstore growth of 7.5%. Among other interventions, we were helped by our SKU optimization program, the sell through of which is now 85% complete. FIFO total inventories on a per store basis fell 9.6% in the second quarter. Controlling inventory continues to be a top priority. As you can see we have consistently made great strides over the past six quarters. Cash flow from operations for the first half of the fiscal year was $1.8 billion. Free cash flow increased to $1.2 billion in the first six months versus $648 million for the same period last year and cash and cash equivalents and short-term investments totaled $3.1 billion while long-term debt totaled $2.3 billion. To update you on capital expenditures, we had previously estimated about $1.6 billion this fiscal year of spend. We now expect to be closer to $1.4 billion with the change primarily due to strategic delays in the new POS system rollout. You will recall that last month we announced that we are purchasing Duane Reade for a total enterprise value of $1.075 billion, which includes the assumption of approximately $457 million in debt. We plan to fund the entire acquisition through existing cash. We have several alternatives with respect to Duane Reade’s outstanding debt which we are currently evaluating. This transaction is aligned with our strategy, our capital allocation priorities and our return objectives. We believe this transaction will generate strong IRRs as well as create value for our shareholders. We’ve spent a lot of time evaluating our alternatives in New York City market and believe that this acquisition compares favorably to an organic growth strategy. As previously stated we anticipate the acquisition will be dilutive to earnings per share in the first 12 months after closing and accretive in the following 12 months and beyond and now recall that much of the first year’s dilution is related to one time costs that are now expensed under the new purchase accounting rules. We expect to achieve $120 to $130 million in synergies in the third year after closing primarily in purchasing and SG&A and in the future we could see some revenue opportunities as well. Our strong cash flow and balance sheet allowed us to pay out $136 million in dividends during the quarter and buy back $234 million in company stock. In the first half to the fiscal year we returned $272 million in dividends and $384 million in share repurchases. We plan to continue returning cash to our shareholders through a combination of dividends and buybacks, which nearly tripled in the first half compared with the year ago period. You will recall that our December dividend was 22.2% increase over the year ago quarter. In addition we set a long-term dividend payout target of between 30% and 35% of net earnings. Now as you plan for our third quarter there are a few things to keep in mind, first, Easter falls on April 4th this year, about a week earlier than last year and that will push more Easter sales, we estimate about 40% into March. Looking beyond our March sales report, we will also report a March/April combined comp with our April sales results. And also like other retailers we are cycling the impact of cigarette tax increases that was implemented in March, 2009. This may negatively impact March/April combined comps by about 100 to 150 basis points. In closing, I remain very optimistic about Walgreens future with many opportunities as we focus on executing on our core strategies. We continue to drive smart growth, both organically and through acquisitions. We are enhancing the customer experience through CCR and other initiatives. And we are meeting our goals for cost reduction and productivity gains in part through the Rewiring For Growth initiative. To reiterate Greg’s point we are confident in our strategies and we are cautious about the economy and the pharmacy reimbursement environment but as we move through the soft economy we will continue to be agile, do what’s right, and drive smart decisions for both the short and the long term. And now I’ll turn the call back over to Rick. 
Rick Hans: Thank you Wade, ladies and gentlemen, that concludes our prepared remarks. We’re now ready to take your questions. 
Operator: (Operator Instructions) Your first question comes from the line of Lisa Gill – JPMorgan 
Lisa Gill – JPMorgan : I just had a couple of questions around your healthcare initiative, our understanding is that Walgreens has signed another [release] kind of similar to [inaudible] with Delta, can you maybe just go into a little bit more detail around the kind of offering that you have in the marketplace and how it differentiates from some of the PBMs and then secondly I think you made the comment that you’re looking forward to the selling season. Can you maybe just give us an idea of the number of RFPs that you participated in this year versus previous years. Are you ramping that up dramatically as you continue to grow your healthcare offering. 
Greg Wasson : As far as Delta, I don’t want to comment specifically. We don’t actually have a signed deal with Delta. There has been discussion out in the marketplace but I will say that we’re excited with the interest that we’ve had in this caterpillar like offering. With Delta by the way we already have a healthcare center and a pharmacy on center with Delta and we’re looking to just expand services in any way we can and if PME is something that makes sense for them, we’re certainly going to be able to offer it. With the restructuring I’m excited about it, I think what it does as I said it really takes and integrates our pharmacy services around our center of gravity, our retail community pharmacies, Kermit Crawford is going to lead that and I think we’re really going to accelerate our integration of those offerings. And Hal Rosenbluth as I said has been in the B to B space for his entire career. We’re bringing the sales organizations together, segmenting by customers and I that’s what I mean by I’m excited about getting into the selling season because I think we’re really focused with some good solutions. As far as RFPs, I’m not really focused on responding to RFPs. We want to get in and work directly with employers, managed care organizations, PBMs, government agencies, whoever they might be and really find out what are the problems they have. What are the problems they’re looking for us to solve and how to bring some of our solutions to help them do this. So, I’m not a real fan of just responding to RFPs. I think there are folks out there who are looking for real solutions and I think we’ve got real solutions to take to them. 
Lisa Gill – JPMorgan : And just as a follow-up to the solutions that you offer, so are you talking about fee per service type solutions, are you talking about trying to bring more volume into the Walgreens store. So how do we think about this over the next several years and how it should flow through our financial models. 
Greg Wasson : A good question, a tough question I guess, I think there will be a combination of probably certainly fee for service. I think healthcare reform I think where the industry is going, where everybody probably would like to see us get is more pay for performance and more coordinated care. So, where fee for service goes long-term I don’t know. But there is still going to be a lot of fee for service going forward. I think at the same time what we want to do is we want to be able to get in and certainly bring more services per client. So maybe in addition looking at the number of retail prescriptions we fill and the margin we make on that retail prescription, we’re also looking at driving what I call the total value of the client. So with Delta if we’re able to go direct or with other employers, we want to be able to drive a lot more services. So some of that may be volume related. Someone wants to work directly with us and we’re able to give them direct pricing via a direct contract and that drives additional volume for them to realize the savings then we’ll be doing more of that as well. 
Lisa Gill – JPMorgan : You made a comment around drugstore margins, pharmacy margins and you said that generic introductions, are you saying that that helped to maintain your margins and how should we be thinking about as we have a number of generics that will come in the next couple of years, are generics generally better for you on the total gross margin dollar. 
Wade Miquelon : What I meant to imply this is a weaker generic season certainly than prior periods. It starts to pick up in latter years. So that was a net hurt. 
Lisa Gill – JPMorgan : So you were saying that you were happy that retail margin, gross margins were flat just considering the fact that you didn’t have as many generics. 
Wade Miquelon : Exactly. 
Operator: Your next question comes from the line of Mark Miller – William Blair 
Mark Miller – William Blair : With regard to the cost savings and your comments that you were on track to achieve this $500 million savings this year, it looks like you’ll need an accelerated pace of cost reduction in the second half of the year and I was hoping you could talk about where you expect to see that acceleration in the coming quarters because it looks like the run rate needs to pick up pretty quickly. 
Wade Miquelon : There is some acceleration but actually, we actually have delivered substantial savings in the first half as well. You have to I think going back to the last quarter its getting to the full reconciliation of how much SG&A was driven by the new store openings which was still in total, our stores were still 7.5% year on year as well as some of the acquisitions and then the SG&A burden we picked up along with that and some of the other things as well. But it certainly ramps up a little bit through the year but again if you look at the run rate the last couple of quarters we have delivered pretty robust savings as well. 
Mark Miller – William Blair : Can you talk about what has, how its materialized different than you originally might have envisioned relative to sourcing, the overhead store labor, and then within power. 
Wade Miquelon : Of the three buckets, I would basically say we’re basically on track with all three buckets so there’s some minor puts and calls here and there but I would say plus or minus 10% across indirect spend, across all the areas of labor and across the transforming community pharmacy initiative we’re pretty much on track. 
Mark Miller – William Blair : And then on the CCR stores, you didn’t talk about the cost side of those stores, you talked about in general terms, but I was hoping you could address the gross margin you’re seeing in the CCR stores given the complement categories are down. Has that negatively impacted the gross margins or are you mixing out actually more favorable and then the cost to operate those stores, how is that, is that more favorable as well. 
Greg Wasson : Overall we’re seeing actually the gross margin somewhat improve in the CCR stores but there’s a lot that certainly can influence that beyond CCR. We’re seeing more private brand utilization and so forth. I think the key thing that we’re looking at as I said in addition to the four way win that we’re looking for with sales, labor reductions, capital reducing and so forth, I think we’re really focused on gross profit per basket. And as we add more and more items like beer and wines, we add more fresh food, we’re really focused on gross profit per basket and that’s what we’re encouraged to see. 
Operator: Your next question comes from the line of Robert Willoughby – Banc of America/Merrill Lynch
Robert Willoughby – Banc of America/Merrill Lynch: Just a quick one, have you stopped the share repurchase with the Duane Reade announcement or is that ongoing in the current quarter and do you think it will keep going and then just secondarily any color whatsoever you can provide on the healthcare business, was it accretive to the margin this quarter year over year, just performance wise, how did the various pieces do. 
Wade Miquelon : We have not stopped the share repurchases and we’ll continue that going forward. 
Greg Wasson : As you know we don’t breakout the healthcare divisions, but I think that we’re encouraged with our growth that we’re seeing especially pharmacy and again I think the integration we’re talking about with the retail pharmacy leverages what I think is our key differentiator. As I say, a lot of times internally there’s no reason why Mrs. Smith if she’s used Walgreens retail pharmacy for years, should not be able to stop in and at the same time get her specialty needs. So we’re encouraged there and I think it’s a real differentiator. Infusion continues to grow. I think there again that’s a differentiator for us with specialty. So we’re encouraged with what we’re doing. I think going directly to managed care. They’re certainly looking for solutions today and I think will be even more so going forward so we’re pleased with the performance of the healthcare divisions. Take the health on one side, retail clinic, we begin to roll out more and more services in addition to the services we give such as screening, chronic care and so forth and our employers’ solutions that we talked about with [Cat] and Delta and others is extremely encouraging right now. Robert Willoughby – Banc of America/Merrill Lynch And are you looking at, profitability to move up with the growth trajectory as well or too early to comment on profit improvement.
Greg Wasson: I think we feel good with where we are. I think we’re seeing what we expected in all business units. 
Operator: Your next question comes from the line of Neil Currie – UBS 
Neil Currie – UBS : Just another question on gross margin in terms of the 50 basis point improvement in gross margin year over year excluding LIFO, how much of this was down to markdowns and was there anything else that contributed to the gross margin improvement. 
Wade Miquelon : A lot of it was less markdowns and just smarter buying I would say. Those two combined activities--
Neil Currie – UBS : In terms of competitive activity, what impact did that have net on your gross margin. 
Wade Miquelon : It’s a fairly promotional environment out there but it has been a promotional environment for some time so I’m not sure that that’s ticked up and in fact I think you’ve seen maybe a few players being more measured as of late. So that’s probably a good sign, but again I think it was just both, it was the impact of lower markdowns largely and again I think buying a little bit smarter to recognize the economy reality we’re in because our people did a very good job there. 
Greg Wasson : I think our merchants and our operators are doing a good job in balancing the items that we need to be hot on and we need to shout value with the items that we might be able to get a little bit more on, so I think with our [rodo’s] we’ve done a nice job balancing that mix to be able to swing doors at the same time provide value as well as our in store everyday pricing. 
Neil Currie – UBS : In terms of the pilot groups of stores with the 2% improvement over the control group, how happy are you with that, what were your original expectations in your budgets, and how are your returns going.
Greg Wasson : I think we feel real good about that. I think as, and we tried to breakdown kind of where that’s going, if you look at the signature class, we’re winning where we want to win. You look at that power category, and that power class, we’re winning there. So I think we feel good. I think we know what we need to do in that complement class to bring that category back to where we want it. So, strategically we’re right in line with where we want to be. And I think that and again that doesn’t include the new décor package, it doesn’t include the add backs that we’re going to be looking at and some of the enhanced categories that we’ve worked on since Houston and Dallas. So we feel real good with where we are right now. 
Operator: Your next question comes from the line of John Heinbockel – Goldman Sachs 
John Heinbockel – Goldman Sachs : A couple of things, I want to drill down on CCR a little bit, when you look at signature and power the 3% and the 5% how would that break down, where is most of that growth coming from. Is that traffic or transaction value. 
Greg Wasson : Transaction. 
John Heinbockel – Goldman Sachs : Almost entirely, so traffic is pretty flat in those stores relative to pilot. 
Greg Wasson : Its not that noticeable between the control group, its mostly transactions. 
John Heinbockel – Goldman Sachs : And then secondly with the complementary down eight, is that more SKU rationalization or the economy do you think.
Greg Wasson : Yes, I think in Houston/Dallas its, we’re seeing a little bit of both as I said but I think the complement class is more SKU reduction and space reduction. And we’ve always focused on peer grouping within our markets and I think what this shows is we just need to further tailor CCR to those stores that have a higher percentage of sales coming from the complement class. And we’ve identified those items, we know what categories we need to add back and feel like we’ve got that under control. 
John Heinbockel – Goldman Sachs : And secondly it looks like the reimbursement environment is relatively tame right now, you didn’t see a lot of pressure do you think that picks up over the next year given different expense pressures on companies, state governments, not as much generic coming out to reduce cost, do you think we see a pick up in that pressure prior to fall of 2011 or not really. 
Greg Wasson : I think we will continue to see reimbursement pressure. I think that everyone in this country is focused on healthcare costs and as I’ve said several times there certainly are threats and opportunities to healthcare reform and certainly the threat is the reimbursement pressure. We managed that entity by entity as we have for years and we’re going to be all over that going forward. The opportunity is the fact that certainly we’re going to have more people that have prescription drug coverage going forward but yes, we’re going to continue to see more reimbursement pressure. The good thing is in the back half of 2011 or so we’re going to see some new generics coming out that will help offset that and then we’ll see the additional volume in 2013 with the folks that have additional coverage. 
John Heinbockel – Goldman Sachs : And finally do you think that any [cat-like] deal would by necessity have the market share incentives that you have in the cat deal, kind of make sure that it’s a win win for you. 
Greg Wasson : I think it will vary by employer and their need so I think you could see future cat-like deals but again I think that it really varies by what they’re looking for. Again we’re going directly to these employers and managed care organization PBMs, everybody I mentioned with a complete solution. They may need or may want a PME solution, but they also may want healthcare services and a pharmacy on site. So we’re kind of going in trying to help them understand, trying to understand what they need and how we can help but it could be, you could see a little bit of both I guess. 
Operator: Your next question comes from the line of Andrew Wolf – BB&T Capital Markets
Andrew Wolf – BB&T Capital Markets: Just on the quarter I know you managed margins terrifically [and] Christmas, but if you look back on it, you’re so skinny on the inventory side and the Christmas didn’t turn out to be a disaster, it was a decent Christmas. Do you think this net net so we can think about the quarter if you had really fine tuned it even better and maybe put a little more inventory in there you might have generated more profit just so we could think about what the quarter might have normalized to or do you think you got it just perfectly right between inventory and the strong sell through.
Greg Wasson : I’ll never say I’m perfect, I think I have stuff to do in retail, I will say I’m not looking back with any remorse so to speak. I think that we did absolutely what we should have done. We were conservative when we bought knowing that we were going to come into a very soft economy and a cautious consumer. I think the good thing is is we came out of the season extremely well positioned. Our inventories are right, our store managers now are able to spend a lot more time out in the store versus the stockrooms so could we have maybe bought an item or two more, maybe did we miss a sale here and there, I’m sure we did and I’m sure other retailers probably are in the same camp. I think the approach we took was right on. 
Andrew Wolf – BB&T Capital Markets: I was just trying to get a general sense of that, and I also want to look at or ask you about the first quarter earnings up 20%, and here they’re up 5%, and can you relate that to, is that pretty much, what percent, if you’ve done this spot process or analysis, to what degree was that just the dramatic swing in the flu, versus other things that could be, I think Wade referenced that things aren’t getting worse competitively, but other things going on, maybe the consumer just tightening up and not coming into the stores as much, or do you think its mainly close to 100% the flu swing. 
Greg Wasson : I think as we said this was a story of the flu. There’s no doubt the first half with the early flu season. The great job our folks did to execute upon flu shots and the flu related sales, this is definitely a flu story. Second half obviously with the lighter flu season impacted the quarter and that’s the reason we really have looked at it the first half versus quarter by quarter. 
Andrew Wolf – BB&T Capital Markets: I missed the beginning of the call so I don’t know if you covered your sort of broad outlook on healthcare reform for the industry or for Walgreens, but I was thinking in terms of some of the things that might be obvious like prescription versus margin, you kind of talked about that. The donut hole I suppose is good, but what about the clinic business. We were speaking to Hal Rosenbluth awhile ago and he suggested that with the shortage of primary care physicians, the clinic business may become very relevant going forward and utilization might really get a lot better for that business and might even entail a change in capital allocation for Walgreens. Could you speak to any of that. 
Greg Wasson : I definitely would agree with the first half of your comment, I absolutely think that healthcare reform with our without healthcare reform frankly I think the clinic business was going to continue to grow and be strong. There’s just not enough access as you know out there and certainly if we have another 30 million folks with coverage its going to become an even greater need. So, we’re bullish on the clinics. I think but I will say we’re looking at our clinics really kind of in two buckets, not only the number of clinics and what the healthcare reform may do to accelerate the growth but also the services within the clinics. And as you know this past year we’ve spent a lot of time really looking at the additional services we can roll out through the existing clinics we have. So I think both number of clinics and the services that we can offer within those clinics certainly we should see more demand for. 
Operator: Your next question comes from the line of Debra Weinswig – Citi
Debra Weinswig – Citi: My question is what is the current private label penetration that you have. 
Wade Miquelon : Roughly 20%. 
Debra Weinswig – Citi: And then how do you plan on leveraging what Duane Reade is doing in their private label business in their stores and applying it to the entire chain. 
Greg Wasson : Certainly we have to once we close, we’ll certainly be able to get a better understand of where the opportunity is. I will say and as I’ve said before John [Letter] and his team are probably some of the best in the retail industry as far as private brand and building a strong private brand, they’ve done a heck of a job in New York City with that private brand. That’s one of the things that really excited me and I think the opportunity to potentially accelerate our private brand strategy with their knowledge and expertise is certainly a strong possibility. 
Operator: Your next question comes from the line of Scott Mushkin – Jefferies
Scott Mushkin – Jefferies: I just wanted to get a feel on maybe since we’re saying the flu is the big contributor of the swing here in the quarter how we’re looking as we’ve moved into March, any thoughts on sales as we go through the rest of the year. We did have H1N1 become an issue I guess late spring last year, how should we be thinking about your sales as we move through the back half of the year. 
Wade Miquelon : Obviously we’ve got a bit of shift in Easter timing but that will work its way out over time. I think a couple of things, on the front end I think we’re starting to cycle a fairly weak period. I think we’re doing a lot of good things and even on CCR where we’ve got opportunities to improve we’ve seen it and so we’re making those fixes. So I think we feel pretty good about that. Last year’s, I don’t think we’re going to see, it doesn’t appear we’ll see a second bump in the flu although you never know. But so we’re probably not going to get a pick up from that and we are cycling a little bit stronger base line so I guess what I would say is probably in terms of what we’re cycling we’re going to see more upside probably on the front end in the pharmacy and again what’s happening in the economy remains to be seen. We’ll see whether we get any economic help. I think we’re certainly dragging along the bottom and any pick up at all would be extremely helpful. 
Scott Mushkin – Jefferies: So in the first few weeks in March really didn’t see any changes then we saw in February. 
Wade Miquelon : We can’t comment on that obviously.
Scott Mushkin – Jefferies: Second question I just want to have clarity on SG&A, I think you made comments to the effect that you had a really good quarter as far as that growth rate went, and maybe not to expect the same levels as we move forward. So as we model in our SG&A growth rate which [inaudible] into the five’s in the second quarter is that something you can replicate as we move through the back half of the year or are we going, I think it was nine and change in the first quarter, five and change in the second, are we thinking more like in the seven’s as far as an SG&A dollar growth rate. 
Wade Miquelon : We certainly have every intention of delivering the full billion to the bottom line in true analytical form. I think what I was trying to imply is if you look at over those two year stats, the last couple of years, you don’t want people taking that and extrapolating that out forever. There comes a point at which you deliver the savings and then you’re kind of cycling the full delivery. That’s all I want to imply. We don’t people to think, they look out two or three years and this trend continues forever, then it would be X, that’s the only thing but we, if you do the model though in terms of those building blocks I gave you we have every intent of delivering half a billion net savings this year and a full billion next year. 
Scott Mushkin – Jefferies: Just going specifically to the SG&A dollar growth rate, I know on the last conference call I thought you made some comments, maybe I’m misremembering about seven-ish is kind of what you thought the dollar growth rate was kind of the right look. And then of course it came in a lot below that this quarter and I guess I was trying to understand the rest of the year and what your expectations are for the SG&A dollar growth rate. 
Wade Miquelon : I don’t recall ever giving a specific percent range, maybe we were using that for something [inaudible] but yes, so we haven’t given that. As you know of it is just a function of how many stores we put down over the past 12 month period, that’s the number one driver. 
Scott Mushkin – Jefferies: Do you think the 5%, five and change is replicable or no, as we move into—
Wade Miquelon : I just can’t give specific guidance on it but—
Scott Mushkin – Jefferies: Then the final question I have is the next CCR market, do you want to tell us which one that is. 
Greg Wasson : No, I don’t want to give our competitors any advance warning but I appreciate your attempt. 
Scott Mushkin – Jefferies: And then I just want to make sure I understand Dallas and Houston correctly, are you feeling like the execution there was where you wanted it to be and it was all economic related is that how I would read your comments. 
Greg Wasson : Yes, I’d go back to exactly what I said, I think that certainly it’s a tough region and as I said I think there are good learning’s coming out of Houston as I said and those stores with a high percentage of complement sales. I think the good thing is I think through the, and this is exactly what we wanted to do in Houston and Dallas. We wanted to really learn more about a mass market rollout. And the good thing is is that the further we get through the SKU reduction and we’re about 85% through that now, the easier these conversions will become and that’s why we’re focused on we think that we can get some cost reduction as we go forward. So with store managers as they convert and go through the conversion, if they’re dealing with less of the closed out inventory, it’s a much easier process. So I think we accomplished exactly what we wanted to accomplish in Houston and Dallas. 
Wade Miquelon : And just building on Greg’s comments, I think as he referenced, our overall market share there was flat to slightly up so in aggregate we held our own despite all the changes and the ones that were less skewed towards heavy complement we were obviously stronger than that and then the ones that were heavily complement we were less so the good news is we held our own in aggregate and I think the better news is is that we also have learned a lot from this as we go forward.
Greg Wasson : And I will say hey, there’s something I would like to have had, I would like to have had the new décor package in Houston and Dallas. I think that given this its probably even a better indication of how we would have done but going forward we’re going to have that synced up with the most recent conversions. 
Scott Mushkin – Jefferies: Housekeeping item, did you tell us H1N1, how much it helped RX sales, the shots for the second quarter. 
Greg Wasson : I don’t know if we gave it broken out on sales, but we administered nearly two million H1N1 shots, I believe that was pretty much second quarter.
Wade Miquelon : Its not going to be a needle mover on sales.
Scott Mushkin – Jefferies: How about on script volumes, because I know you put that in your volumes. 
Wade Miquelon : That two million will be included as two million scripts.
Scott Mushkin – Jefferies: And do you know what, how much did it increase the script volumes. 
Wade Miquelon : We’ll get it to you but it was two million, 170 million scripts, so maybe—
Operator: Your final question comes from the line of Meredith Adler – Barclays Capital
Meredith Adler – Barclays Capital: Just a few quick follow-ups, in terms of the CCR comparisons that you gave and all that detail could you just tell us what time period that’s for, is that for second quarter or for the life of the program because I think you did mention hurricanes and stuff in the first quarter last year so these results excluding that or if you could just discuss that please. 
Greg Wasson : It was the last six months and I think we had that detailed on the slide. 
Meredith Adler – Barclays Capital: And then if you could just speak to the AWP impact, I think you had guided to about $80 to $90 million impact and it was about $25 million in 1Q, is that still pretty much on track. 
Wade Miquelon : That’s right. 
Meredith Adler – Barclays Capital: Can you just give what it was in the second quarter or—
Wade Miquelon : I think it was about $25 million. 
Meredith Adler – Barclays Capital: And then just going back to the healthcare reorganization, does that reflect a change in strategy or is that just kind of a consolidation of the same strategy as you were running with already. 
Greg Wasson : Its not a change of strategy, I think it just organizes us a little more efficiently, it’s a stronger go to market strategy and really leveraging the strengths of both like Hal Rosenbluth and Kermit Crawford with stronger execution.